Operator: Good day, ladies and gentlemen. Welcome to the Genuine Parts Company First Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today's event is being recorded. At this time, I would like to turn the conference over to Sid Jones, Senior Vice President, Investor Relations. Please go ahead.
Sid Jones: Good morning, and thank you for joining us today for the Genuine Parts Company First Quarter 2023 Earnings Conference Call. With me today are Paul Donahue, our Chairman and Chief Executive Officer; Will Stengel, our President and Chief Operating Officer; and Bert Nappier, Executive Vice President and Chief Financial Officer. In addition to this morning's press release, a supplemental slide presentation can be found on the Investors page of the Genuine Parts Company website. Note, we will not be playing these slides through the webcast. Please be advised this call may include certain non-GAAP financial measures, which may be referred to during today's discussion of our results as reported under generally accepted accounting principles. A reconciliation of these measures is provided in the earnings press release. Today's call may also involve forward-looking statements regarding the company and its businesses. The company's actual results could differ materially from any forward-looking statements due to several important factors described in the company's latest SEC filings, including this morning's press release. The company assumes no obligation to update any forward-looking statements made during this call. Now, I'll turn the call over to Paul for his remarks.
Paul Donahue: Thank you, Sid, and good morning. Welcome to our first quarter 2023 earnings conference call. We were pleased with the continued strength and momentum in our businesses and to report results that exceeded our expectations for the quarter. Before I share my comments on the first quarter, I want to share a few thoughts from our 2023 Investor Day, which we hosted just this past month. We use this event to convey our confidence in the bright future of Genuine Parts Company and update everyone on our strategy and the many opportunities we see for long-term profitable growth. During the course of the day, we highlighted our rich history, ongoing transformation and strategic priorities, which we showcased through several key initiatives in an interactive expo. Our panel discussion with our global business unit leaders, allowed us to share specific business and market opportunities and provide insights to the collaboration among our leaders and synergies across the businesses. Finally, we provided three-year financial targets, including a compelling outlook for double-digit EPS CAGR and a double-digit EBITDA and segment profit margin by 2025. It was a great day for the GPC leadership team and hopefully, an informative and productive day for all of our attendees and everyone in the financial community more broadly. If you missed it, we invite you to view the full presentation on our Investor Relations website. So now let's turn to the first quarter. We are proud of the outstanding work by our global GPC teammates, with sales and earnings coming in ahead of our expectations. Our first quarter performance was a clear example of how our strategic transformation to a global automotive and industrial company is a competitive advantage that distinguishes GPC in the marketplace. We benefited from our business mix and the geographic diversity of our operations with continued strong performances in our international automotive businesses and in the industrial segment. A few highlights in the quarter include; record quarterly sales of $5.8 billion, up 9% from the prior year, segment margin of 9.1%, up 50 basis points from 2022. Earnings per share of $2.14, up 15% from adjusted EPS last year, and our 11th consecutive quarter of double-digit adjusted earnings growth. And finally, we strengthened our balance sheet while generating solid cash flow to support our growth initiatives and capital allocation. The global GPC team is focused on driving accelerated sales and earnings growth, continued margin expansion and strong cash flow through dynamic economic conditions. Across our businesses, our teammates are aligned and executing on our strategic plan to deliver outstanding customer service and continued market share gains. In industrial, demand trends held strong throughout the first quarter with new and existing customer activity and reshoring trends each presenting growth opportunities. We believe our continued momentum in industrial is due to the diversity of our product and service offerings and end markets, which all performed well again this quarter. Our acquisition of KDG and enhanced capabilities in industrial solutions, including automation, fluid power and conveyance are proving to be competitive differentiators, and we remain bullish on this business in the near-term. Our global automotive business continues to benefit from the geographic diversity of our markets, which helped to offset the headwinds of a warmer winter and volatile weather conditions in our US automotive business in Q1. In addition, the automotive aftermarket is benefiting from trends such as the ongoing increase in miles driven and aging and complex vehicle fleet and rising interest rates and continued high prices for new and used vehicles. These are all key drivers to ongoing growth in demand, especially for the DIFM segment, which represents 80% of our global automotive sales. So after delivering back-to-back record years, we are pleased with the solid start to 2023 and we continue to expect another strong year of profitable growth. Looking ahead, we are confident that GPC is well-positioned with the right strategic plans, strong fundamentals, and rock-solid balance sheet to pursue accretive organic and acquisitive investment opportunities while also returning capital to shareholders through dividends and share repurchases. So again, we thank each of our GPC teammates for taking great care of our customers around the world. So now I'll turn the call over to Will.
Will Stengel: Thank you, Paul. Good morning, everyone. I'd also like to thank the global GPC team for the strong start to the year. We appreciate all your hard work to take care of our customers every day. As Paul referenced earlier, the pride in our business was on display at our Investor Day last month. We were excited to share our vision, unique advantages, market opportunities and how we're winning as we execute strategic initiatives. Our initiatives are focused on talent and culture, sales effectiveness, technology, supply chain and emerging technology, all complemented by a disciplined M&A strategy. As we shared during the sessions, our team is well positioned with leadership positions in attractive, fragmented markets with established customer relationships, global supplier partnerships, technical expertise and a scaled global infrastructure. We work together with shared values as one GPC team to create customer success and shareholder value. Turning our attention to the first quarter performance in our two business segments. Total sales for Global Industrial segment were $2.3 billion, an increase of approximately $240 million or 11.9%. Comparable sales growth increased approximately 12.1% in the first quarter versus last year. This marks Motion's eighth consecutive quarter of double-digit comparable sales growth. From a cadence perspective, through the quarter, January and February were the strongest two months on a one-year basis, but on a two-year basis, sales were relatively consistent throughout the quarter. In March 2023, Motion eclipsed the previous monthly sales and profit record set in March of 2022. The sales growth at Motion continues to be broad-based with double-digit growth across most product categories and major industries serve. During the quarter, we saw strength from industries such as food products, chemicals, mining and oil and gas. In addition, Motion continues to see solid performance with its corporate account initiatives, as sales with these customers grew approximately 20% in the first quarter. The corporate account strength is driven from not only new customers but also strategic renewals of existing relationships. In Asia Pac, our Motion business continues to build on its momentum posting sales and profit growth well over 20% for the quarter. We realigned the leadership of the industrial business in Asia Pac by organizing under one automotive and industrial leadership team in the fall of 2022. The team has made impressive progress to identify opportunities, take action and deliver performance. Industrial segment profit in the first quarter was approximately $262 million or 11.6% of sales, representing a 230 basis point increase from the same period last year. The continued profit improvement for this segment reflects excellent operating discipline on strong sales growth, both in North America and Asia Pac. In addition, the team in North America continues to build on the synergies from the KDG acquisition last year. As we reported at our Investor Day, thanks to the incredible teamwork for many, Motion realized over $30 million in synergies in the first year, and we expect to achieve our target over $50 million in total synergies by the end of this year, one year earlier than our initial expectation. For the quarter, Global Industrial represented 50% of total GPC segment profit. Turning to the Global Automotive segment. Total sales were $3.5 billion, an increase of approximately $230 million or 7% versus the same period in 2022. Total automotive sales benefited from our global diversification as our businesses outside the US posted high single-digit to double-digit growth in local currency during the first quarter. From a cadence perspective, through the quarter, Global Automotive sales were strongest in February and March. On a comparable basis, global automotive sales increased approximately 7%, with comps ranging from low single digits in the United States to low double-digit growth in Europe and Asia Pac. As Paul mentioned, we remain encouraged by the solid industry fundamentals and team execution, which we believe will continue to drive profitable growth. Global automotive segment profit in the first quarter was $264 million, essentially flat with last year and segment operating margin was 7.5% compared to 8.1% in 2022. The strong performance of our European, Canadian and Asia Pac businesses helped to partially offset lower margins in our US Automotive business. Profit in the US Automotive business was impacted by a sluggish start to the year on sales, combined with planned investments in wages and elevated freight out expense. Now, let's turn to an overview of our automotive business performance by geography. In the US, automotive sales grew approximately 4% during the quarter, with comparable sales growth of approximately 3%. The first quarter represents the toughest year-over-year comparison of 2023, with an approximate 12% comp growth in the first quarter of 2022. Looking at our average daily sales, growth was relatively consistent throughout the quarter. However, milder winter temperatures combined with extreme weather events impacted automotive demand in certain product categories and periodically disrupted operations. As examples, sales of batteries were positive, but below internal plans during the quarter, particularly in the Northeast. More broadly, we offset sluggish categories in heating and cooling and undercar, with strength in various core categories such as filters, brakes and fluids, all of which had growth above the US average. Growth was consistent across our regions, except for our west region, which experienced a more pronounced negative impact from weather, which temporarily disrupted many of our operations. Overall, we estimate that weather negatively impacted US Automotive sales by approximately 1% in the quarter. Sales to both commercial and retail customers were positive, with mid-single-digit commercial growth outpacing retail. Our commercial business saw sales increase across all customer segments, including continued strength with our fleet and government channel and mid-single-digit growth in our NAPA AutoCare network. The sales performance at US Automotive started the year slow relative to our expectations. As a result, the team acted during March to address cost while balancing its longer-term investment priorities. The benefits of the actions will be weighted towards the second half of the year. Sales have improved during the first half of April when compared to March and the team remains focused on delivering in 2023 despite the soft start to the year. In Canada, sales grew approximately 9% in local currency during the first quarter, with comparable sales growth of approximately 9%. Our Canadian performance reflects strong growth in several categories like brakes, chassis and filtration, all of which were up double digits in the first quarter. In addition, we saw strong performance in our heavy-duty business, which outperformed the total Canadian growth rate. These categories helped offset headwinds in certain weather-related categories like batteries, which were pressured by a milder winter season. We're pleased with the strong quarter in Canada, and we continue to see compelling opportunities for long-term growth due to our leading market position, solid industry fundamentals, share gain initiatives, and strong team execution. In Europe, our automotive team delivered another exceptional quarter with total sales growth of approximately 22% in local currency and comparable sales growth of approximately 13%. The strong growth in market share gains across Europe continue to be driven by solid execution of key initiatives. During the first quarter, we saw high single-digit to double-digit growth across each of our geographies as our teams continue to win new business with key accounts drive higher share of wallet with existing accounts and expand the NAPA brand in the region. We're on track to grow our NAPA branded sales from €300 million in 2022 to approximately €400 million in 2023. Our entry into Spain and Portugal in 2022 has exceeded our expectations and value creation plans as it benefits from the NAPA brand and European scale advantage. In addition, our team is expanding our NexDrive EV service shops to approximately 400 locations, up from 150 shops in 2022. We believe our NexDrive offering will position the European team to lead our industry in the growing EV aftermarket. In the Asia-Pac automotive business, sales in the first quarter increased approximately 14% in local currency from the same period in the prior year, with comparable sales growth of approximately 11%. Both commercial and retail sales continued to perform well with both growing at a double-digit rate in the first quarter. In addition, March saw record sales and profit results across several go-to-market channels, including Repco, NAPA, and our motorcycle accessories. Asia-Pac continued to make impressive progress on its talent and culture and customer-centric growth initiatives. We continue to complement organic growth with strategic acquisitions to capture share in our fragmented markets and create shareholder value. During the first quarter, we completed several bolt-on acquisitions, primarily consisting of small automotive store groups that increased local market density in existing geographies. Our acquisition pipeline remains active and will remain disciplined to pursue transactions that extend our leadership and create long-term value. In summary, the global GPC team delivered strong first quarter results and we remain confident in the outlook for the balance of the year despite a dynamic environment. We will execute our near and long-term initiatives and focus on what we can control. Our investments in our people, customer solutions, technology, supply chain, and emerging tech will continue to enhance our capabilities and leadership positions. Thank you again to the entire GPC team for the hard work and performance. With that, I'll turn the call over to Bert.
Bert Nappier: Thank you, Will and thanks to everyone for joining us today. We are very proud of our teams as they continue to navigate a dynamic environment and I'm pleased to walk you through the key highlights of our first quarter performance. Before I get started on the details of our results, I would like to note that we had no non-recurring items in the first quarter of 2023. However, our comparisons to the prior year do exclude certain non-recurring items in 2022, primarily related to the integration of KDG. Total GPC sales increased 8.9% or $470 million to $5.8 billion in the first quarter of 2023. This reflects an 8.7% improvement in comparable sales, including mid-single-digit levels of inflation and a 2.4% contribution from acquisitions. These items were partially offset by a 2.2% unfavorable impact of foreign currency. Overall, our balanced portfolio and global diversification drove record total sales and strong earnings to start the year. Our gross margin was 34.9% in the first quarter, improving 30 basis points from our adjusted gross margin last year, primarily driven by ongoing investments in our pricing and sourcing initiatives. The favorable impact of these and other initiatives contributed approximately 60 basis points of core gross margin improvement. These gains were partially offset by two key headwinds. First, a shift in sales mix related to the strength of our industrial business, which impacted gross margin by approximately 15 basis points; and second, foreign currency, which also impacted gross margin by approximately 15 basis points. As we highlighted at Investor Day, our ongoing execution of key strategic initiatives around gross margin continue to drive strong results. Our total operating and non-operating expenses in the first quarter were approximately $1.6 billion, up 9% from adjusted expenses in 2022 and in line with the prior year at 27.9% of sales. The increase in expenses in Q1 reflects the combination of solid discipline in managing core costs, offset by planned investments in our teams due to inflationary wage conditions and increased spending in technology to support our ongoing strategic initiatives. As Will noted, with elevated operating costs pressuring margins in the first quarter in our US Automotive business, we have taken actions in March to address these headwinds, which we anticipate to persist into Q2. We expect these cost actions, combined with our ongoing discipline on costs across the remainder of the business and the execution of our broad base of strategic initiatives to drive further improvement in operational efficiencies and productivity for GPC. Our performance in the first quarter generated total segment profit of $526 million, up 16% and a segment profit margin of 9.1%, a 50 basis point improvement from last year and our fifth consecutive quarter of segment margin expansion. Our first quarter net income was $304 million or $2.14 per diluted share. This compares to adjusted net income of $266 million or $1.86 per diluted share in 2022, an increase of 15%. Our ability to deliver our 11th consecutive quarter of double-digit adjusted earnings growth is indicative of the hard work and crisp execution by our teams to implement our strategic initiatives across our global operations. Turning to our cash flows. We generated $198 million in cash from operations in the first quarter. This compares to $399 million in cash from operations last year, which included the sale of $200 million in receivables under our AR sales agreement. Free cash flow was $109 million, and we closed the first quarter with $2.1 billion in available liquidity. Our debt to adjusted EBITDA is 1.7 times, which compares to our targeted range of two to 2.5 times. We are well-positioned with financial strength and flexibility to take advantage of growth opportunities that may become available across the business. We remain committed to our long history of disciplined capital allocation. Our four key priorities for capital allocation are unchanged and include investment in our business through capital expenditures and M&A and the return of capital to our shareholders through dividends and share repurchases. In the first quarter, we invested $88 million in capital expenditures, primarily around supply chain and technology. These investments support many of the initiatives we shared at Investor Day that we believe will drive the modernization of our business moving forward. We also invested $40 million for acquisitions, which remains a key element of our growth strategy. As Will mentioned earlier, we continue to generate a robust pipeline of acquisition targets for our businesses. For the quarter, we returned $194 million to shareholders in the form of dividends and share repurchases. This includes $126 million in cash dividends paid to our shareholders and $68 million of cash used to repurchase 411,000 shares. We are well-positioned with the cash flow to effectively deploy our capital through all business cycles. Turning to our outlook for 2023. We are updating our full year guidance previously provided in our earnings release on February 23rd and reaffirmed on March 23rd at our Investor Day. We are raising our guidance for diluted earnings per share to a range of $8.95 to $9.10, an increase of approximately 7% to 9% from 2022. This represents a $0.15 increase from our previous guidance of $8.80 to $8.95. Our sales guidance is unchanged, and we continue to expect total sales growth for 2023 to be in the range of 4% to 6%. By business segment, we are guiding to the following; 4% to 6% total sales growth for the Automotive segment with comparable sales growth also in the 4% to 6% range. For the Industrial segment, we are expecting total sales growth of 4% to 6%, also with a 4% to 6% comparable sale increase, and with the ongoing assumption of stronger first half year-on-year sales growth relative to the second half of 2023, although our view on Q2 and Q3 have improved modestly. Turning to a few other items of interest. We are raising our outlook for cash from operations to a range of $1.3 billion to $1.4 billion, an increase from $1.2 billion to $1.4 billion previously. We are raising our outlook for free cash flow to a range of $900 million to $1 billion, an increase from our previous guidance of $800 billion [ph] to $1 billion. We continue to plan for CapEx of $375 million to $400 million for the full year, which includes incremental investments in technology and supply chain, among others. In closing, we are very pleased with the strong start to the year and positive momentum in our business. While our US Automotive business had a slow start to the year, we've started Q2 with good sales momentum and expect our team to execute, build traction through the second quarter and have a solid second half of 2023. Our outlook for the full year reflects the ongoing confidence in our strategic plans and our ability to execute through the dynamic economic environment. GPC is truly differentiated with our business mix, global footprint, our size and scale, the execution of initiatives and our talent, we have a unique value proposition. As we shared at Investor Day, our team is well positioned to execute our plans to deliver our targets for a double-digit EPS CAGR over the next three years and double-digit margins by 2025. Thank you. And we will now turn it back to the operator for your questions.
Operator: Thank you. We will now begin our question-and-answer session. [Operator Instructions] And the first question will be from Kate McShane from Goldman Sachs. Please go ahead.
Kate McShane: Hi, good morning. Thanks for taking our question. Just one housekeeping question. Just it sounds like weather was a little noisy during the quarter, but the fundamentals are still intact. Can you remind us what exposure you have to California or to the West?
Will Stengel: Yes. Kate, it's a good question. I would say we don't have an outsized exposure to any one region. The breakdown of the US automotive revenue is probably directionally correct, equally split across the regions.
Kate McShane: Okay. Thank you. And then I think you mentioned in the prepared comments that because of the sluggish start in January, your team pivoted to some new strategies that will impact the second half. Can you talk a little bit more about what that is? And what impact do you think it will have in the second half?
Bert Nappier: Yes, Kate, this is Bert. I'll talk a little bit about -- maybe I'll start with the outlook as a starting point, just to give you some context for the full year. I'll talk a little bit about Q2, and then I'll flip it to Will and will give you a little bit more color on the cost actions in US auto specifically. When we think about the full year, we did raise the outlook $0.15. That's a 1.5% increase on the top end of our range, really on the back of a better-than-expected first quarter and our expectations, as we've commented for US Auto to recover against some of these Q1 headwinds and a stronger view on Motion performance over the coming two quarters. When we think about that, I do want to remind everyone that we do expect growth to moderate in 2023. We had exceptional growth in 2021 and 2022. But we're still looking at very solid earnings growth at 7% to 9% year-over-year with the new range. The business continues to perform well. We're going to continue to capitalize on size and scale, and bullish against our execution of our own strategic initiatives. And I think we're off to a great start as we march towards our 2025 targets that we shared on Investor Day. We're obviously being very balanced and being prudent against the external factors that are out there. Inflation levels, foreign currency and the geopolitical landscape, just to name a few. When I think about Q2, just to give you some color there about how we're thinking about the upcoming quarter, we started off in a good place. Global Automotive is in line with April, 7% on the top line. And within that, as Will stated in his prepared remarks, US auto has started off with good momentum in the month of April, accelerating from March. We see continued strength in international auto and the global industrial business momentum is carried into Q2. But, again, we do expect that to normalize against the Q1 rate. Those cost pressures in US Auto, I think, will persist into the early part of Q2 for the balance of the quarter probably, and Will will talk about those just in a moment on what we're doing to get us back to the expected level of performance that we're looking for in the second half. One thing I'd remind you, too, on Q2 is, just as you think about your models, recall that Q2 of 2022 represented our strongest earnings growth last year. And as a result, when we think about our guidance for the full year, the second quarter of 2023 will be -- our expectation will be that it will be our lowest earnings growth rate for this year. So Will, maybe you want to just take that from there and fill in a little bit more specific on the cost actions at US Auto.
Will Stengel: Yes. Happy to, Bert. Kate, I would say, obviously, the teams around the world have been incredibly focused on costs. So, I wouldn't say, there's any necessarily new actions or levers being pulled. I think we're just stepping up the urgency and the focus at US Automotive. They're predominantly around as you would suspect, all things people, in particular around more rigor on over time in stores and DCs, just being super thoughtful to make sure that we're balancing cost with taking care of our customers, T&E expense. We've also pulled together some accelerated plans around merchandising and freight cost strategies, which will take a little bit of time to materialize here through the second half of the year. But we're going to balance near-term cost actions with, as we've talked about, long-term investments, and make sure that we're doing the right thing for the business over the medium and long term.
Kate McShane: Thank you.
Operator: And the next question will be from Bret Jordan from Jefferies. Please, go ahead.
Bret Jordan: Hey, good morning, guys.
Paul Donahue: Good morning, Bret.
Will Stengel: Hi, Bret.
Bret Jordan: On the US Auto, I think you said the comp was plus 3%. Could you break out price versus units in that number?
Will Stengel: Yes, Brett. So total GPC price, mid-single digits. Global automotive, slightly higher than that. I would put US Automotive in that category. Industrial, slightly under the mid-single digit, low single digit. So probably mid-single digit plus is probably a good estimate for US Auto.
Bret Jordan: Okay. And then, you talked about margin benefits from pricing initiatives. And could you talk about what you're seeing out there? And, I guess, auto and industrial as well, as sort of market share dynamics and how the competitive pricing environment looks this year? Obviously, you guys were investing in price a year or so ago, but Auto Plus has gone Chapter 11, so maybe there's some sort of change in dynamics out there as far as the competition.
Will Stengel: Yes. It's a good question, Bert. I would say, generally speaking, in US Automotive, the -- we haven't seen any material change in the pricing dynamics as we've talked about many quarters before. It is a dynamic environment. That's why we're so focused on our strategic pricing initiatives and all the investments we're making there. Like every industry, people are picking and choosing and executing strategies in the market, just like we are. But it is kind of a rational but dynamic market. So, we're really not seeing anything materially different than what we've seen in the last few quarters. We're going to focus on what we think is right from a strategic pricing perspective. As you heard at Investor Day, we've put a lot of investment into tools and talent and new rigor around collecting intelligence to make sure that we're in the right place for our customers. You also heard a lot about the NAPA brand and the role that, that plays in particular, in Europe in our assortment strategy and all the great work that our merchants and sourcing teams are doing around the world. So, we're being very thoughtful in this pricing environment, but I wouldn't say there's a material change despite some of the developments that you noted in your question.
Bert Nappier: And Bret, this is Bert Nappier. I'll just add a little bit to that. And you see that effectiveness with our margin -- gross margin expansion here in Q1 up 30 basis points. And within that, as I mentioned in my prepared remarks, 60 basis points of improvement from these activities that Will just outlined. So, the core is really performing well. We had some headwinds from mix and FX, but we're really pleased with how all of that work is flowing through and delivering in terms of gross margin improvement.
Bret Jordan: And just sort of a follow-up on that point. Now, that you've got Asia-Pac sort of industrial and auto under 1 team. the potential to leverage the sourcing, buying products from the same suppliers for both segments. Is that something that you're seeing better traction in down there versus the broader portfolio?
Will Stengel: I wouldn't isolate it to down in Asia-Pac. In fact, we just had our global sourcing teammates here in Atlanta from all around the world to continue to build on this exciting momentum where all geographies on both sides of the business will be better aligned and more press on where we have our opportunities. So, I wouldn't say that Asia-Pac is benefiting now more on sourcing. Having said that, they are benefiting from being together as a team, and that's a big part of how they're thinking about their business as they move forward. And so whether you're talking about the organization design, back-office cost, et cetera. I think there's a lot of opportunities for them to continue to work better as one organization.
Bret Jordan: Would you do broader integration globally? If it works in Asia-Pac, would you just think about merging more of the overhead on both sides of the business?
Will Stengel: I think we have an opportunity to work together to leverage our scale, the definition of what you mean by merged business units, probably not. But working together as a team, you heard at Investor Day, the importance of One GPC. That's the perfect philosophy around how do we work together to make sure that we're capturing all the opportunities as a global organization.
Bret Jordan: Great. Thank you.
Will Stengel: Thanks.
Operator: And the next question will be from Scot Ciccarelli from Truist Securities. Please go ahead.
Josh Young: Hey, good morning. This is Josh on for Scott. So, on the segment margins, with automotive down 60 basis points in the quarter, industrial up over 200. Can you just unpack a little more what the drivers were there for each segment?
Bert Nappier: Hey Josh, it's Bert. I'll take that one, and I'll start kind of at the GPC level. When we think about -- we had margin expansion for gross margin, really, where we're focused on some of that drag is in SG&A. SG&A was up 10 basis points year-over-year. That's really a mix of three factors: inflation, planned investments in the business and then offset by really strong leverage across the business outside of US Auto. For the quarter, when we think about how to really think about the elements, I would say we had SG&A pressure about 50 basis points from those planned investments that we shared at the beginning of the year and again at Investor Day, in IT and talent. Now, some of the talent cost is certainly going to be inflation driven, but we're making very thoughtful investment in talent and IT, which we see as critical for the future. When you look at US Auto, the quarter was impacted by higher personnel costs there and freight delivery costs. So that's the outbound freight from a DC to a store. The wage side was really again the impact of planned investments we made to ensure we're staying competitive. I think everybody is facing that across all businesses and talent is a key part of our long-term success. On the freight side, we're seeing the impact of higher rates from our carriers as they're looking to do the same thing, they're looking to cover higher wages due to driver shortages. So those two things on the automotive side were part of the equation. The other thing I would just say is that, I turn back to this weather consideration. We really didn't anticipate that, as you would expect. None of us are forecasters here in terms of weather. But -- we didn't anticipate some of those weather impacts, particularly coming off the very strong December we had in US Auto. So our staffing models were set to align to a sales run rate where we exited 2022. And that was probably a little bit higher than we needed to support Q1 softer sales level. So all of that together compressed margin in US Auto and was a bit of a headwind for us. As we look ahead, the cost of business is doing a little of doing business is a little higher and inflationary conditions are certainly contributing to that. We're reducing where we can. And again, investments we're making in the business that we shared at Investor Day are a big part of driving efficiency. So while two is kind of take that back to the top level again, and maybe talk about these wage investments in IT and why we think they're so important to us. On the IT side, we're making investments to improve our capabilities and modernize our platforms and Nadeem share that extensively last month. We think those are the right things to do. But in certain cases, the pivot in that space is to cloud-based technology. And as many of you know, that changes the dynamic from a capital to operating costs. And as I shared earlier this year, that's about a 30 basis point drag for us for the year. On the talent side, it's a very competitive market out there for talent. And we're making smart investments with our people with a mid-single-digit wage increase. I think that's in line with most businesses, slightly higher for us than 2022. And we also made the decision to take some of the health care costs we were seeing and absorb them here at the corporate level rather than what we might normally do and pass those on to our employees through higher contributions from them. And that's the right thing for our team right now. So I take that all together, we got a little bit of deleverage for the year 30 to 40 basis points. Those two things are 60. So you can see we're really leveraging outside of that US auto business right now. And with that, we expect margin for the full year to be up 20 to 40 basis points. And as you saw in Q1, we were up 50 basis points.
Josh Young: Got it. Okay. That's helpful. And then could you just walk us through what you saw in terms of inflation during the quarter and what your expectations are for the balance of the year here?
Bert Nappier: Sure. Yeah, I'll take that one as well. As we look at Q1, inflation moderated slightly during the quarter. That was in line with our expectations. Again, we think monetary policies here in the US and around the world are having the desired effect. But that does take a little time to flow through. Q1 inflation and sales, all GPC total was mid-single digit. Auto was high single digit. And again, industrial, which has been very consistent, low single digits. Our expectation for inflation for the rest of the year is for it to continue to moderate. That's pretty consistent with the view I just shared at Investor Day. Obviously, the actual impact is yet to be seen. But our assumption is that the automotive business will tick down from high single digits to low single digits to close out the year. Industrial will stay in that low single-digit range and that GPC that translates in us going from mid-single digit to low single digits.
Josh Young: Okay. Got it. Very helpful. Thank you.
Operator: And the next question will come from Christopher Horvers from JPMorgan. Please go ahead. Christopher, your line is open. Perhaps your line is mute on your end.
Christopher Horvers: Thanks. Good morning everybody. So a couple of follow-up questions. First, is it fair to say that you were expecting US NAPA to be more like a 4% comp for the first quarter, considering you pointed out a point of on the weather side? And is that a fair interpretation of where the business is running in April?
Will Stengel: The first part of your question is fair. And the second part of your question is fair.
Christopher Horvers: Okay. And so dovetailing back to the US NAPA division, you talked about 20 to 40 basis points of segment margin expansion. So was it -- is the original plan that you would deleverage the NAPA operating margin due to the investments?
Bert Nappier: Chris, this is Bert. So when I talked about 20 to 40 basis points of segment margin improvement, I'm talking about GPC consolidated. I don't really want to get into parsing the onion too finely between the elements of that. But we were not expecting margin declines in either segment for the year. The math would be difficult to achieve 20 to 40 basis points being up consolidated for either of the two segments to be down year-over-year. Look, we had a softer start to the year in US Auto. We've got a great plan here in place with some cost actions we're taking, but it will take a little time to build traction and auger in through the quarter. We're looking for a really solid second half there and building that momentum for us, and we feel good about that.
Christopher Horvers: Got it. And then just on the freight front understanding that there's some wage cost being pass-through and driver shortages, fuel prices surged in March of last year and all your freight out, I'm assuming it's a periodic expense. So should the freight start to be a tailwind here in the second quarter? And then how long before maybe some of the capitalized freight costs turned to a tailwind later in the year? Thank you.
Bert Nappier: Yeah. Thanks, Chris. It's Bert again. Look, on the cost of ocean freight, those that are included in our inbound and cost of goods sold. My gross margin projection for the year and our guidance assumes we get a bit of a tailwind of that in the second half. That's clearly our expectation. I think that's in line with the market. On the outbound freight, diesel fuel is still up year-over-year just slightly in the quarter. It started out January, I think, in the north of 20%, moderated a bit in February into the teens and then turned positive in March. The net sum of that was about a 3.5% increase for the quarter in fuel cost. And so we had a bit of a headwind there on top of the rates we're getting from the carriers in terms of fuel as it relates to diesel, and that is primary -- that's the primary component of that delivery cost as we think about fuel when it goes from the DC to the store. We would expect that, if March is an indicator that, that will start to tick down a bit and could be a benefit to us. Will mentioned that we've got some actions related to that. On the labor side, I think it's pretty sticky, though. When we think about these carriers, and we're all facing higher wages. Year-over-year, the cost of doing business is undeniably higher because of wage rates, and I don't think those will abate. But we might get a little bit of a tailwind here on the fuel aspect and see how that maps out over the next couple of quarters. Sorry for the long answer.
Christopher Horvers: Got it. Thanks very much. No, thank you so much.
Will Stengel: Okay. Thank you.
Operator: And the next question is from Liz Suzuki from Bank of America. Please go ahead.
Liz Suzuki: Hi, thank you. Just -- I guess this is more of a theoretical question about acquisition opportunities. I mean historically, you've acquired businesses that are performing well that can bring synergies to your core operations in both Industrial and Automotive. But if there were underperforming competitors in either a category where you saw an opportunity to bring GPC's distribution capabilities to that business. Would that ever we consider it as an acquisition target?
Will Stengel: Yes, Liz, it's a great question, and the answer is yes. We're going to do deals that create value that align with our strategy, regardless of how they're performing. And I would say our capabilities in this part of the business positions us pretty well as the environment gets tougher. We're going to be really disciplined on whether they're a good business or a challenged business. But if we can create value and it makes sense for our strategy, I think the power of our balance sheet and our liquidity position is that's exactly the type of environment that we want to operate in, so we can leverage our scale.
Liz Suzuki: Got you. And then just on the guidance for the year, the interest expense came down a little bit. So it sounds like there are no near-term plans to take on additional leverage, but just wanted to get your thoughts about that and on your current debt level and any near-term plans for cash outside of the opportunities that you laid out already in your -- in the slides.
Bert Nappier: Hi, Liz, it's Bert. Look, there's nothing in the near-term that has really changed or really for the balance of the year in terms of how we're thinking. Interest expense has come down a bit. We've had a little less need to borrow against our revolver intra-month, which has been a bit of a benefit to us and intentional. And then when we think about the uses of cash and our capital allocation for the year, it's still pretty balanced. We don't have anything different than what we shared at Investor Day and no different plans. The only thing that's on the horizon is we've got a debt maturity at the end of the year. And obviously, we'll want to be thinking about the environment that the capital market brings to us as we get closer to that and how we think about refinancing or paying back or some of the various options we might have. So again, just being really disciplined as we always are being faithful to our four priorities on capital allocation and no surprises for you guys.
Liz Suzuki: Perfect. Thank you.
Bert Nappier: Yes.
Will Stengel: Thanks, Liz.
Operator: And the next question is from Greg Melich from Evercore ISI. Please go ahead.
Greg Melich: I have a follow-up on Auto and then turn to Industrial. I just want to make sure on the Auto margin, it looks like the decline was pretty much all in the US business. Is it fair to say that both Europe and Asia Pacific segment Auto margins were up year-on-year?
Bert Nappier: That's fair to say.
Greg Melich: Got it. And then the -- on the Industrial side, how sustainable is the expansion rate, but also just the level that you've gotten to in industrial? Is something changed there about the fundamental profitability of that side of the business?
Bert Nappier: Greg, this is Bert. I wouldn't say there's anything fundamental that's changed other than just continued strong momentum and building on the actions in that business over the last couple of years. You build on industrial team that -- and the Motion team that is executing at a very high level, their core business, a stellar integration of KDG and how we've achieved synergy, which was transformational in driving additional size and scale and creating opportunity. That combination has allowed us to continue to improve margin in that business. As we shared at Investor Day, we're looking at that business being at a 12% level. And so, we're marching towards that as a target. And, obviously, this quarter gave you a glimpse of our progression in that regard. And I think we're on the right track to hit that level of profitability as we shared at Investor Day based on what we see right now and what we see for the next several quarters.
Paul Donahue: Hey, Greg, this is Paul. I would just cap off both those comments. When you think about the two businesses, Auto and Industrial, and we've talked about this a good bit in the past. We talked about it during Investor Day. If you go back a few years, we laid out our multi-year diversification strategy. And I would tell you, this is a classic quarter where that strategy is really paying dividends. And it's -- and hats off to our teams, our Industrial team, our international teams all really delivered in Q1. We could not be more proud of them.
Greg Melich: Very well. Congrats guys and good luck.
Paul Donahue: Thank you, Greg.
Will Stengel: Thanks, Greg.
Bert Nappier: Thanks, Greg.
Operator: Next question is from Seth Basham from Wedbush Securities. Please, go ahead.
Seth Basham: Thanks a lot and good morning. My first question is just on the weather effects going forward. Given the gyrations you saw through the winter, do you expect the weather to be a drag on sales through the balance of the year?
Will Stengel: Hey, Seth, it's Will. Listen, I don't -- I'm not in the -- I don't think any of us are in the business of forecasting the weather as we move forward. So, no, we haven't modeled in any of our forward commentary or outlook impact from weather.
Paul Donahue: Seth, I've been at this a number of years. It was a crazy, crazy quarter. When I look back at our call in January, we were sitting here in Atlanta, and it was 80 degrees, yet many parts of the country were shut down with incredible snowfall. At this point in time, all we're going to do is we're going to focus on what we can control. And our businesses are all performing at a really high level. We expect that to continue regardless of what Mother Nature has in store for us in the balance of the year.
Seth Basham: Understood. And in terms of the 100 basis points drag from weather in the quarter, was it more pronounced on the DIY side than the do-it-for-me side?
Will Stengel: Yes, I don't think we can make a distinction between DIY and DIFM from a weather perspective. I mean, 80% of our business is do-it-for-me. So -- but there's no distinction between the two.
Seth Basham: Fair enough. Thank you.
Paul Donahue: Thanks, Seth.
Will Stengel: Thanks, Seth.
Operator: And our final question for today will come from Daniel Imbro from Stephens Inc. Please, go ahead.
Daniel Imbro: Yes. Hey, good morning, everybody. Thanks for taking our questions. I wanted to start as a follow-up on the industrial margin kind of outlook you guys provided. Bert talked about kind of 12% guidepost. If I look at 1Q, really strong expansion, but the growth was up double digits. Obviously, the guide is calling for growth to slow to get to that 5% midpoint for the year. It's your expectation, just to make sure we understood that correctly, margins would still be up year-over-year for the coming quarters, just maybe up less than the first quarter, or how would you think about the pace of industrial expansion as that headline growth flows through the year?
Bert Nappier: Well, I don't want to get into giving quarterly guidance on the Industrial segment, but I'll just talk about the full year and tell you that when you think about the industrial business, we've got, as we -- I think we've said repeatedly high single-digit topline growth model for the first half. That moderates down to low single digits in the second half based on our expectation of economic conditions, which could obviously change. Even with all of that, even with a low single-digit outlook for the second half, we're expecting the segment to improve its margin for the full year. Will it be at the same rate as Q1? No. We're not modeling that, and you know that from our full year guidance. But in a lower growth moderated environment in the second half that business will still perform well on a margin basis, and we expect that margin to expand for the full year, which is why we're looking at overall GPC margin expansion for the full year as well.
Daniel Imbro: Great. I appreciate that color. And then to follow-up on the automotive margin, not to beat a dead horse, but you mentioned the wage investment and kind of I think you mentioned it in the question, the cost of doing business has gone up. I guess, what inning are we in, in terms of those wage investments as and when do we begin to lap these and we could return to levering that wage line on a low to mid-single-digit type comp? Just what's that kind of outlook look like on those investments you're planning on making in the business?
Bert Nappier: Well, look, I'll just tell you that we spent the last 12 months or so moving down the P&L in terms of inflation impact, starting with the topline and cost of goods sold, I think all businesses, so I don't want to put us in some unique camp. I think all businesses are starting to feel the impact of inflation in the heart of the P&L. And that's now moving into freight lines, SG&A, personnel costs, and some of those things. To call the inning on that is really tough. My dad was a baseball coach, and I like to say that I'm baseball-ready, but the call to inning on that one is a little difficult. I just go back to the point that in this highly inflationary environment, there's no question the floor has been raised on the cost of doing business. It's not just here in the US, it's around the world. And the best indicator for that is what all companies are facing right now with inflation on wages. I don't want to give you a precise estimate on a range of leverage. I think historically, the company has been talking about a 3% to 4%. If it's been 3% to 4%, it's probably floating closer to the higher end of that range. But the thing we're focused on, and I think it underscores and emphasize the importance of doubling down on these investments and initiatives we're making in productivity and efficiency, modernizing our operations, and the things you heard about at Investor Day will help us. And then we're always going to be faithful to driving leverage and reducing costs where we can. And you saw a great example of that in the business this quarter with the leverage we gained in the Motion business and the International Automotive businesses. So, I think that's a great data point on how we're thinking about modeling this going forward. And obviously, my guidance contemplates that as to our 2025 targets.
Daniel Imbro: Yes, makes a lot of sense. Thanks so much for all the color.
Bert Nappier: Thanks Daniel.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Paul Donahue: Yes. Thanks, Chad. We appreciate it. And listen, we appreciate all the questions and all of you joining us this morning. As I hope you've heard, we're incredibly pleased with the strong start to the year and we could not be more proud of the great work being done by all of our GPC teammates around the world. We're -- we continue to be excited with the momentum this business is generating. So, I hope you feel that and heard that today in our in our comments. So, listen, all of you have a great day wherever you are and thanks for your interest in GPC.
Operator: And thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.